Operator: Good morning, and welcome to the Sabre Third Quarter 2017 Earnings Conference Call. Please note that today's call is being recorded and is also being broadcast live over the Internet on the Sabre Corporate website. This broadcast is the property of Sabre. Any redistribution, re-transmission, or rebroadcast of this call in any form without the express written consent of the company is strictly prohibited. I will now turn the call over to the Senior Vice President of Investor Relations, Mr. Barry Sievert. Please go ahead.
Barry J. Sievert - Sabre Corp.: Thank you, Kim, and good morning, everyone. Thanks for joining us for our third quarter earnings call. This morning we issued an earnings release, which is available on our website at investors.sabre.com. The slide presentation, which accompanies today's prepared remarks, is also available during this call on the Sabre IR webpage. A replay of today's call, along with the slide presentation, will be available on our website beginning this afternoon. Throughout today's call, we'll be presenting certain non-GAAP financial measures, which have been adjusted to exclude certain items. All references during today's call to EBITDA, EPS, and net income have been adjusted for these items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on our website at investors.sabre.com. We'd like to advise you that our comments contain forward-looking statements. These statements include among others disclosures of our guidance, including revenue, EBITDA, net income, EPS, cash flow, and CapEx, our expected segment results, the effects of changes in accounting standards, and in new or renewed agreements, products and implementations, our expectations of industry trends, and various other forward-looking statements regarding our business. These statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today's call. Information concerning the risks and uncertainties that could affect our financial results is contained in our SEC filings, including our 2016 Form 10-K and our second quarter 2017 Form 10-Q. Participating with me on today's call are Sean Menke, our President and Chief Executive Officer; Rick Simonson, our Executive Vice President and Chief Financial Officer; and Chris Nester, our Treasurer and SVP of Finance. Sean will start us off and provide a review of our strategic and commercial performance and outlook. Rick will offer additional perspective on our financial results and forward outlook. We will then open the call to your questions. With that, I'll turn the call over to Sean.
Sean E. Menke - Sabre Corp.: Thanks, Barry, and good morning, everyone, and thank you for joining us today on our third quarter earnings call. Before I get into my prepared remarks for today, I do want to take the opportunity, once again, to thank the employees of Sabre. You know I've been in my role now for ten months and I've been pushing the team extremely hard, and we spent a lot of time at our strategic opportunities and alignment, really focused on the discipline and prioritizations of things that need to take place within the organization, and also looking at the talent relative to what we need to do to get things accomplished. We've spent time really looking at our investment, the profile of those investments, and the budget, management, and what needs to take place. From my seat, it's very clear to me that the efforts that we have going on are really paying off, and I'm seeing a more crisp organization as we move forward. And this really does drive forward as we look at what's happening with our tech strategy, how that is really aligning with what's taking place in our products and services and the strategy for those, which drives really customer engagement, and how do we look at our customer engagement, where we need to continue to drive things. All this is about people and the organization, and that's why I'm very grateful to the individuals throughout Sabre and what they are getting done, because we are pushing them and asking them to do things so we look at the future and understand the opportunities that sit out there. All this drives into how are we looking at the organization for rigor and accountability, focusing on financial, operations, and commercial. And really driving to what's important to you and that's the financial results and how we're looking at the capital management. The important thing is we're doing what we told our customers and we would do. Many of the initiatives we have kicked off throughout the year are well underway. We executed well this quarter with renewed focus and better organizational alignment, and delivered solid growth and profitability. Total Q3 revenue increased 7%, driven by 9% growth in Travel Network as we grow faster in higher-value markets, like EMEA and begin ramping up a key travel agency customer implementation in Asia/Pacific. And 5% growth in Airline and Hospitality Solutions, supported by 8% passenger boarded growth on a consistent carrier basis. And Hospitality Solutions' growth that re-accelerated to the mid-teens as we said it would. And we saw strong flow-through to the bottom line as we recognized the benefits of our improved organizational structure that better aligns our cost base with customer needs and market demands, resulting in 11% year-over-year growth in adjusted EBITDA. Adjusted operating income up 11%, and adjusted EPS of $0.31, up 15% from a year ago. Our solid results this quarter were underpinned by a number of competitive wins and execution across our business units. At Travel Network, we continue to gain momentum in the marketplace with new agency wins, including Travelgenio, the second largest OTA in Spain, the continued global rollout of our new Sabre Red Workspace is well underway with many of our major North American accounts live on this next generation platform. Rollout began in May and we expect to accelerate globally throughout 2018. We won increased share of wallet within key Airline Solutions' customers, including expanding our relationship in APAC, with Shenzhen Airlines and China Airlines, and signed key renewals with multiple global customers. Our Airline Solutions delivery team completed over 40 customer implementations, including our SabreSonic reservation system and a broad suite of solutions at Air Niugini at the end of the quarter. Strong progress in Hospitality Solutions also continued. We successfully closed key wins at Regis Hotel Group and Sokos Hotels. Increased share of wallet at Mandarin Oriental and Marriott, and completed implementation at over 1200 hotel properties in the third quarter. Overall, it was a solid quarter in terms of both performance and execution, which we expect will position us well to achieve our guidance for the full year. As we hit the home stretch of the fourth quarter, we remain steadfast in our efforts to bring increased focus and discipline to the organization, while we continue to invest for the clear objective to be a leading technology partner to the travel industry. Earlier this year, we set out to refocus and realign our company to drive long-term value and shareholder returns through prioritized strategic investment. One of my first initiatives was to narrow and reinvigorate our executive leadership team. Together we have reviewed our strategy and operations, and now with a new team in place, we're accelerating the changes and opportunities we deem important for the continued success of the organization going forward. Our primary focus is on technology and the capabilities we have and expect to have into the future. The new executive leadership team is well versed on technology enablement, and I pass them with transforming our mindset, focus and discipline around our current data infrastructure, products and services. Furthermore they are focused on transforming our core platforms to allow us to be more agile to meet the future demands of our customers and better display, enhance the distribution of, and ultimately fulfill our product offerings. This is a key strategy not only across our airline partners but also our hospitality partners. And we believe we are well positioned to deliver on all fronts. We expect the results of these efforts to be a focused and disciplined organization that has aligned its people assets, technology investment, and expertise to deliver for our customers and increase a return on the invested capital for our shareholders. Sabre has a responsibility to lead when it comes to providing a robust platform for connecting all our participants in the business of travel. Much of what we see our full-service airline partners trying to achieve today was also happening 10-plus years ago, but it has become more prevalent over the past few years. I have often cited my experience at Air Canada and the changes that took place in the mid-2000s, and what drove changes then are continuing to drive changes throughout the world today and that is low-cost carriers. In 2000, low cost carriers made up approximately 10% of global airlines seats. Today that number is approaching 30%. At the same time, we have seen revenue production stagnate. Since 2008, average airline revenue per passenger boarded on a CAGR basis decreased 2%, and total revenue per passenger boarded has decreased by 1%, which has been offset by the growth of ancillary revenues. For carriers today, the focus is on how to differentiate in the marketplace and drive greater revenue. Now, I'm leading Sabre and the momentum has amplified under the banner of NDC. I see clearly the opportunity in front of us to lead the industry in transforming the way travel is retailed and distributed. When you've sat in the executive chair of your customers, you have a much better understanding of the needs and opportunities that can be addressed. Airlines want to drive revenue and improve customer experience, and end-to-end NDC-enabled solutions should allow airlines to leverage deep data sets, including customer profile, market, and ambient information to create dynamic customized offers that resonate with the individual traveler from across all distribution channels. It's not about direct versus indirect, it's about facilitating retailing across all channels, and we expect the GDS and our agency customers will continue to have an important role to play. Once accepted, these offers become orders that need to be managed and fulfilled. Our technology across retailing, revenue optimization, direct and indirect distribution, and PSS-enabled fulfillment help position us to be the best partner for airlines looking for an end-to-end NDC-enabled solution that delivers both better customer experiences and increased revenues. We're also focused on ensuring a solution that meets the needs of our agency partners by enabling efficient work flows and servicing capabilities critical to their high-value travelers. Not only were we the first to support the NDC standard as a critical component to unlocking revenue for the industry via the indirect channel with an early partnership with American Airlines, but we have fully embraced NDC as one important enabler of enhanced capabilities, and we are developing the technical foundation that we expect will allow us to fulfill our commitment as a key industry partner in enabling the next generation of retailing and distribution across all channels. We are already on the path of evolution. We are pushing our technology strategy forward by accelerating our migration to open systems and the cloud environment with greater standardization. This focus will enhance our quality and speed to market, and provide the flexibility of an API and service-enabled technology platform. We have actively integrated the NDC standard into our technology initiatives. We expect to achieve Level 2 certification by second quarter of next year, and Level 3 by Q3 of 2018. NDC is only a portion of what needs to be solved, and we are fully committed to helping our airline partners optimize the retailing, distribution and fulfillment of their products and services through all forms of distribution. The proposed model and thinking are still evolving, and the industry has a significant amount to work out to move towards dynamically created and fulfilled offers. Detailed discussions with our airline partners about what needs to change are very active. For example, how does the world of revenue management change? How are offers displayed across distribution channels, particularly in a dual world of dynamic and traditional offers? What changes need to be made for the passenger service systems to ensure a proper fulfillment? And what additional business model changes could this drive across the players in the travel ecosystem? We are taking an active role in these discussions with our airline and agency partners, and are working to lead with solutions. We are prioritizing our technology development to NDC-enabled, the core technology, that we expect will play a key role. The Sabre platform that underlies the Sabre Red Workspace, our SabreSonic PSS, retailing and merchandising solutions, and data and analytics products all contribute to create a technology foundation for future capabilities. We also expect our revenue management tools will play an important part in this progression. Our teams are heavily engaged on how marketplace demands are influencing revenue management capabilities and how will we need to integrate these enhancements into our own product capabilities. It is important to note that we are also focused on delivering the needed tools and capabilities to our agency partners that enable them to sell these products and services to their high-value customers, as well as support complex servicing and fulfillment needs. Over the past year, we have touted the rollout of the new Sabre Red Workspace and the platform and agility by which we can add enhanced content. The underlying reason behind our developments were based on the current and future needs of our airline and hotel partners and how we ensure our technology and tools are in place for our agency partners to sell the desired products and services. And NDC is just the beginning. We are uniquely positioned to deliver the NDC-enabled evolution of air distribution and fulfillment, and similar technology can be leveraged across hospitality. While competitors have pieces, we facilitate the entire workflow, from revenue optimization, offer creation, order management and fulfillment, driving increased customer satisfaction and higher revenues across the value chain. We are excited to share our progress, and continue thinking as the market evolves in the months to come. And with that, I will pass the call over to Rick to give the normal granularity on the third quarter results and expectations as we close out the year. Rick?
Richard A. Simonson - Sabre Corp.: Thanks, Sean. Turning back to the results for the quarter, in Airline and Hospitality Solutions, Q3 revenue increased 5% to $275 million. It was driven by mid-single-digit growth at AirVision, AirCentre, and Hospitality Solutions growth in the mid-teens. Offset somewhat by the modest decline in SabreSonic revenue due to services to Southwest-related legacy reservation system that have now ended. Solutions' EBITDA margins were 40.6%, resulting in Solutions' EBITDA of $112 million, representing strong growth of 17%. EBITDA growth was supported by benefits from the cost reduction and business alignment program initiated in August 2017, as well as the favorable overlap of service-level agreement, or SLA, payments that were made a year-ago period. Passengers boarded totaled 187 million in the quarter, a 9% decline year-over-year due to the impact of Southwest. Excluding Southwest, total passengers boarded increased 12%, which includes the benefit of the Alitalia migration in Q4 2016 and a strong macro environment that drove consistent carrier growth of 8%. Q3 Travel Network revenue increased 9% to $632 million, driven by bookings growth of 3.2%. Average booking fee growth in the quarter was driven by favorable customer pricing and positive mix, including faster growth in high-value geographies like Europe, Middle East, Africa. Adjusted EBITDA increased 8% to $237 million in the quarter, with adjusted EBITDA margin of 37.5%. EBITDA growth was supported by the benefits of the cost reduction and business alignment program initiated in August 2017 and the favorable overlap of the impairment charge related to a travel agency customer insolvency in the year-ago period. This was offset primarily by higher incentive expense, mainly due to the large agency renewal signed in 2016, as well as regional mix and new agency conversions, particularly in EMEA. Full-year adjusted EBITDA margin expectations of 39% to 39.5% remain intact. As expected, bookings growth accelerated in the third quarter in EMEA and Asia Pacific, driven by new agency conversions in the first phase of implementations at a key travel agency customer. Bookings growth was somewhat dampened by the impact of the recent hurricanes in the U.S. and Caribbean, resulting in Q3 total bookings growth of 3.2%. Air bookings grew 3.3%; non-air bookings grew 2.5% in the quarter. Global bookings growth was driven by 16% growth in EMEA and 10.8% growth in Asia Pacific. Bookings declined 1.9% in North America, and 1.9% in Latin America, dampened by the impact of the recent hurricanes. The hurricanes reduced global bookings growth by approximately 1 point in the quarter. Globally, our Q3 share of GDS air bookings was 36.5%. The Q3 share figure does not include the full impact of the implementation of a key travel agency customer in Asia Pacific that will ramp up over the balance of the year and into the first part of 2018. We enjoy a strong balance sheet, with leverage at our target ratio of three times or a bit below, and good access to the capital markets. Total net debt at quarter-end, was $3.2 billion, with leverage of three times trailing 12-months EBITDA. From third quarter operating cash flow of $178 million, up 5% year-over-year, we generated free cash flow of $103 million, up 30% year-over-year. Consistent with the second quarter, strategic prioritization continued to lead to lower capital intensity. In Q3, GAAP CapEx totaled $75 million, and capitalized implementation costs were $17 million in the quarter. In aggregate, adjusted capital expenditures declined $19 million year-over-year. Year-to-date, with operating cash flow of $456 million and free cash flow of $213 million, we are on track to meet our full-year cash flow expectations. During the quarter, we successfully refinanced $1.9 billion term loan B facility, and a $970 million pro rata facility, reducing our pre-tax weighted average cost of debt from 4.3% to 4.0%. In the quarter, we repurchased 4.1 million shares under our share repurchase authorization for approximately $75 million in aggregate. Inclusive of our third quarter dividend, we returned $114 million to shareholders in the quarter. Year-to-date through Q3, we repurchased 5.8 million shares under our share repurchase authorization for approximately $98 million in aggregate, and returned $214 million to shareholders inclusive of our quarterly dividend. With Q3's solid results, we're confirming our 2017 full-year guidance. For the full year, we continue to expect Sabre revenue of between $3.54 billion and $3.62 billion. In Airline and Hospitality Solutions, we expect full-year revenue growth at the bottom end or slightly below our original guidance of 5% to 7% growth, driven by the events at airberlin and Alitalia earlier this year and slower in-year Airline Solutions revenue production. For the full year, we expect continued strong performance of Hospitality Solutions with revenue growth in the teens, and relatively flat Airline Solutions revenue growth. As a reminder, in Q3, we continued to benefit from the implementation of Alitalia, and this partially mitigated the decline in SabreSonic revenue due to legacy reservations system to Southwest Airlines that again have now been ended. In Q4, we will anniversary the implementation of Alitalia, and expect to feel the full impact of Southwest. Full-year Solutions' EBITDA margin is expected to expand by 100 basis points to 150 basis points to between 37.5% and 38%. With continued strong revenue generation at Travel Network in Q3, we expect to end the year with revenue near the top end of our guidance of 5% to 7% growth. Although Q3 bookings growth was a little muted primarily due to the impact of the recent hurricanes in the U.S. and Caribbean, we've seen positive booking fee trends year-to-date due to positive customer pricing and more concentrated growth in high-value geographies like EMEA. We do not expect this level of positive pricing to continue into Q4. We continue to ramp up the implementation of a key travel agency customer in Asia-Pacific. However, other new agency conversions that will drive additional growth and share across the globe are coming online at a slower rate and are now expected to largely benefit 2018. Full-year Travel Network EBITDA margin is expected to land between 39% and 39.5%, consistent with our previous expectations. We continue to expect full-year centrally-held technology costs to increase approximately $35 million year-on-year, all resulting in expected full-year adjusted EBITDA to be between $1.055 billion and $1.095 billion. With full year depreciation and amortization expectations of approximately $365 million, full-year interest expectations of approximately $155 million, and full-year adjusted tax rate of around 31%, we continue to expect full-year EPS to be within our guidance range of $1.31 to $1.45, albeit likely towards the lower half of that range, consistent with what we said on our Q2 earnings call. And with expectations for full-year capital expenditures of between $335 million and $355 million and capitalized implementation costs of $60 million to $70 million, our full-year free cash flow guidance of approximately $350 million remains intact. Finally, there's a bit of housekeeping I need to update you on. As I'm sure you're aware, in 2018 there's a new accounting standard that will drive revenue recognition changes across the technology and software industries. While our work is ongoing, we want to provide a preliminary view of the impact of this new standard on Sabre's financial reporting. The purpose of the new standard, known as ASC 606, is to better align the P&L with expected cash or consideration to be received in exchange for goods and services transferred. Under this new guidance, revenue related to license fee and maintenance structure agreements will no longer be recognized ratably over the life of the contract, but rather much will be recognized up front, except a small portion of revenue associated with the cost of delivering ongoing maintenance services. For existing open agreements, this change will result in initial balance sheet adjustment and reduced revenue in subsequent years compared to the current standard before the impact of future sales. Effective January 1, 2018, Sabre will adopt ASC 606 using the modified retrospective transition method. This means we are not restating prior years, but for the sake of clarity we will report 2018 under both the new and the old revenue recognition guidance. How will the new revenue recognition guidance impact Sabre? First, we expect no material impact on Travel Network or Hospitality Solutions' revenue. Airline Solutions will be impacted by a relatively small number of agreements sold under the license fee and maintenance structure, and certain other agreements with tiered pricing or variable rate structures that do not correspond with the goods or services delivered to the customer. Revenue associated with these existing open Airline Solutions contracts will be impacted and there will be an initial associated balance sheet adjustment reflecting the change in accounting treatment. We do not expect any material impact from the ability to capitalize and amortize sales commission recognition, another aspect of ASC 606. So, what's the estimated total impact to Sabre? We're still working to do our finalized impact and work to continue will go on through Q4 earnings report until adoption. Our preliminary view is that the implementation of the new accounting guidance on current contracts is expected to reduce Sabre's 2018 reported annual revenue by approximately $40 million to $80 million, compared to expected 2018 revenue under the current recognition guidelines. All of this is before the impact of potential new license fee sales, which can somewhat offset the reduction revenue recognized. We expect no material impact on expense recognition so the decline in revenue recognized is expected to have 100% flow through to EBITDA. There is no expected impact to free cash flow. As noted this is only preliminary view. We'll provide a more refined view of this impact at our Q4 2017 earnings call when we provide 2018 annual guidance, and a clear bridge between the new and the prior revenue recognition guidelines. So, let's drill in a bit on Airline Solutions impact, 10% or about $80 million of our current annual Airline Solutions revenue falls under the license fee and maintenance structure. We expect the implementation of the new standard to reduce revenue recognized from these contracts by approximately $35 million in 2018. Of the remaining 90% of Airline Solutions revenue, or approximately $720 million, approximately 95% of the revenue is not impacted by the new standard. However, accounting for agreements with tiered pricing or variable rate structures will change under the new standard, resulting in approximately $25 million less revenue in 2018 than would have occurred under current accounting guidance. Our current expectation is that the total impact to Airline Solutions due to the change in revenue recognition guidance will be approximately $40 million to $80 million in 2018, with the figures I just mentioned based on the mid-point of this range. New license fee sales can offset this impact, but this is not expected to be significant, given that we may not sell agreements under these structures in the future. So to reiterate, this is our preliminary estimate of what is simply a change in reported revenue for certain parts of our business, with no expected impact to operations or free cash flow. We'll provide you with an update at Q4 earnings call. Sean, back over to you.
Sean E. Menke - Sabre Corp.: Thanks, Rick. The third quarter was solid and straightforward, reflecting our strong focus and execution. As I mentioned, our teams are working hard to accelerate our efforts, and I want to commend them for their dedication and enthusiasm, but there's so much more work to be done to position the company for its next leg of growth during a time of evolution across the industry, but we are definitely up for the challenge. We appreciate your interest and involvement in Sabre, as we work to drive greater value for our customers and our investors. That wraps up our formal comments. I want to once again thank you for joining our call today. And with that, I will ask the operator to open up the call for your questions.
Operator: Thank you. Our first question today is from David Moerdler (sic) [Mark Moerdler] from Bernstein Research.
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Hello. I apologize, it's Mark Moerdler. Sean, the passengers boarded to the Airline Solutions was quite robust. How do you see that trend continuing? I know obviously you're not guiding to next year, but can you give a sense of the pipeline deals versus the expectations for additional passengers boarded, et cetera? Just any color would be appreciated. And then a quick follow-up.
Sean E. Menke - Sabre Corp.: Yeah, happy to do that, Mark. So as we look at it great, you're correct that if you look at it, there has been decent growth, just on the base level on the PB side of the equation. As we look at campaigns going forward we continue to see, you know, from my perspective, carriers that continue to look at the opportunity that is out there. We are engaged in a few discussions, that I would say, have been a little more advanced than probably the last call that we've had. So I continue to stay optimistic, but again, as we look at this, I think as we have discussions with carriers, a lot of carriers are trying to understand as the distribution world changes, how does this actually impact the PSS side of the equation as well?
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Excellent, and then can you give – you touched a bit on the investments. Can you give a sense where you were in that process in terms of the work you had to do on the GS side, on the airline side, just a comfort of where you are in it, and how much more still needs to be accomplished?
Sean E. Menke - Sabre Corp.: Yeah, so the teams have done a significant amount of work on this. And as we've broken it down, as we look at the technology, technology sort of platform where we're at right now, it does start with what do we feel that we need to do as it relates to just core infrastructure, and we have a good line-of-sight really on what we want to do on data infrastructure strategy. Part of this is being led by Joe DiFonzo, so there's a significant amount of work that has been done there. The other thing is really with platforms and the way that we're looking at that going forward, and we continue to gain line-of-sight on the things that are happening there. Vish just joined the organization, so I have to give him a little time to get ramped up, but there is a lot of work that was done prior to him joining the organization, that we're essentially handing the baton off to him. As we get into the products and I really break it down as it relates to Travel Network, I'm very pleased with where we are with Sabre Red Workspace and really the underlying platform that's there. And we've spoken a lot about that, because that provides us the agility to really add content, not only for Sabre Red but for anybody that would like to absorb those API or web services. If we look at the Hospitality side of the equation, the primary focus right now as it relates to development, is really on the property management system and B4 (32:46) that we talked about during the second quarter, and the teams are well upon-are really tracking well on what they need to deliver there. And then on Airline Solutions, the one that we probably highlighted the most, a lot of effort and with Dave Shirk coming on board, been able to do a number of deep dives and understanding the priorities by which we need to focus on what are the products and really services out there that are going to drive, what I consider and Rick is focused on, the greatest return. So I'm very comfortable with where we sit right now and this is where we are focused is how do we make sure that we have this aligned properly as we go into 2018. The important thing in this too is the sequencing of all of these things and that's probably where we're spending most of our time is you got to be careful that you can't do all of these things at once, that there are foundational things that need to take place that allow us to look at the appropriate investment and the schedule of that investment going forward. And Rick, I don't know if you want to add anything.
Richard A. Simonson - Sabre Corp.: Yeah, thanks, Sean and Mark. It's important, it is the sequencing, it's the pivot, and so there's a sharper focus on investing for higher return across our product portfolio, as well as in the tech stack. And as we've shown again in the three months, capital expenditures and adjusted capital expenditures have gone down. Same as in the nine months, but that has allowed us to rotate more into these platform areas that Sean's talked about that enable the next level of stability, security, and importantly the evolution of distribution for this dual world as we move to a refined business model there. So that's the balance. We think we're increasingly playing that well with the discipline, and it's allowing us to spend more on technology that matters for product health, customer health, and leading the evolution of the industry, and we're taking that away from things that are a result of a tighter focus and better operational rigor.
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Excellent. Thank you. Much appreciate the detail.
Operator: Moving on, we have a question from John King from Merrill Lynch.
John P. King - Bank of America Merrill Lynch: Yeah, good morning. Thank you for taking the questions and congratulations on the Q3. It is actually pretty much a follow-up on Mark's questions. If you go back to the appointment, I think, of Vish, the CTO, I think if I'm right you called out a migration to open systems and I guess away from some of the TPF modules as a part of the future. Maybe, Sean, if you can just talk about that project and how long it could take, how much it could cost from a modernization standpoint? And then related to that, I know you said last quarter, Rick, you're committed to reducing the capital intensity overall to deliver the free cash flow growth in line with revenue next year. I just wanted to understand what specifically might happen to the budget for CapEx for the PSS? And maybe if you can give us a bit more detail as to what kinds of modules get deprioritized in order to deliver on that outlook?
Sean E. Menke - Sabre Corp.: John, let me go ahead and start with your first question and then I'll go ahead and pass it to Rick. So prior to Vish joining the organization, we had a whole host of individuals within Sabre, and we brought in expertise outside of the organization to really look at how do we accelerate the balance of what we want to move off of mainframe. And in doing that, I think the one thing that we definitely have focused on internally and has been pointed out, is that when you go back and there has been a number of comparisons made specifically to one of our primary competitors that the dollars and the time it took, technology has definitely advanced over that period of time. And I think the other thing that is important to note is people go through long transitions, there's things that when you look back, you probably wish you would have done differently. As we look at it, we have identified an approach that we feel comfortable with, that allows us to look at how do we migrate certain things off of TPF, how do we potentially wrap things around TPF. But in doing that, we've handed that work off to Vish, and the important thing when you have any new executive come on board, he is going to be the individual that owns this. And it's important that he understands essentially the strategy that has been laid out and what corrections he would like to make to that strategy. When we look at it from the investment profile, and I know this is where the strives as it relates to the dollars associated, and I continue to be very strong in my opinion here is that as we go through the prioritization process of what we're doing right now, we are finding that we're aligning dollars to the most valuable projects that are out there. The other thing that we're doing is we have been very focused on how do we drive efficiency within the organization, what are the things that we can stop doing that allow us to fund what we find are the most important things. And that was a big thing that we really did in working through the second quarter and announced in July was the realignment of the organization. We continue to focus on what are those opportunities as we look at our global workforce. So, the reason I go through all of that, is we know that there is dollars that are required for all of our investments, but how do we make sure that we're very laser focused on what we can do internally in funding those projects, and also how are we looking at new technologies and capabilities in working with different partners outside of Sabre. Rick?
Richard A. Simonson - Sabre Corp.: Yeah, John, you know guys, as we talked about, this is the last question about capital intensity, and then specifically you asked about PSS CapEx. And to Sean's point, is in the Airline Solutions portfolio, PSS and the commercial suite, what we call AirVision, really, those are priority, right, to invest at the right rates, the right time, get the right return on investment, and we're doing well there. And we're just going from a strength to, we hope, better strength there. That really is kind of how we think about the connected airline. That's the intelligence and the critical systems and it's part of the whole distribution underpinning of air travel and the commercial optimization for the airlines. And so we're making sure across the company, so both within AS portfolio and across the company, to make sure that we focus or pull some resources away or get better in order to put more into those areas. On some of the operation side we talked about before, it hadn't been getting acceptable return on investment, and that's where we're changing how we go about that in order to free up dollars.
John P. King - Bank of America Merrill Lynch: Thank you. And if I could just ask one quick follow-up, Rick, just breaking down the very strong pricing growth you saw in Travel Network between mix, which, I guess, should've been favorable to you, and then offset by any like-for-like price increase, which also seems to have played a role?
Richard A. Simonson - Sabre Corp.: Yeah, it is exactly that way. And as we said, we don't expect quite that much of the price-uplifting in Q4, so we had a little bit of that that won't continue. On the flip side, we had a little bit of unexpected impact on the revenue from the hurricanes, so if it's about 1% of bookings, 130 million bookings, you get about 1.3 million bookings. And so good quarter there. We liked how it played out. But want to caution that we won't have that kind of positive pricing benefit in Q4. But again, remember, Q4 is seasonal. And in the second half, both Q3 and Q4, we have lower EBITDA margins in Travel Network. And that's why we're confident of getting to the 39% to 39.5% for the total year.
Sean E. Menke - Sabre Corp.: Yeah, another thing to point out here, and this just gets into the higher-value markets that Rick had in his script in EMEA. We had 16% growth in EMEA. We had 11% growth in APAC. And this really does align to the strategies. We look at the GDS side of the equation, and looking at ourselves and the growth that we can continue to have within the marketplace in Europe and the Middle East as well as in Asia. And again, when we look at what our rates are from an airline perspective, those are greater rates than what we have in the Americas.
Richard A. Simonson - Sabre Corp.: Thanks, John.
John P. King - Bank of America Merrill Lynch: Okay. Thank you.
Operator: Our next question today is from Jim Schneider from Goldman Sachs.
Lara Fourman - Goldman Sachs & Co. LLC: Good morning. This is Lara Fourman stepping in for Jim Schneider today. I was wondering, on the Solutions margins, you guys showed really healthy margin expansion there, and if you could talk a little bit about if Southwest rolling off is helping that? Or if not, doing work for other Solutions that have been mixed is helping that, or if there's just underlying efficiencies there?
Richard A. Simonson - Sabre Corp.: I think our Solutions margin, again, benefited from, one, an easier comparison from last year, where we had higher expenses, SLA expenses, and we have the onboarding of Alitalia fully in this year as well. That's primarily it. The roll-off of Southwest really isn't a positive to the margins. It was high margin and had good flow-through. But we also really benefited from the cost reduction progress, that I called out that we implemented that. So you can't lose sight of the cost-reduction program, and we took care of things in the G&A side, and in some of the sales side that weren't revenue producing, and we're getting it right sized for that. That's the biggest input. The other things are ins and outs that you're all familiar with and haven't changed.
Lara Fourman - Goldman Sachs & Co. LLC: Thanks. And then on the Travel Network margins, obviously, the OTAs have put some pressure on margins this year, but do you expect that they can return to those next year?
Richard A. Simonson - Sabre Corp.: Well, the OTAs are growing. We grow along with them. They do have, the bigger ones, a bit of a lower margin profile. But we haven't given any update for 2018 to the TN margins.
Sean E. Menke - Sabre Corp.: Yeah, and the important thing on this as well, Rick stated it during his comments, is we've identified that the margins for 2017 were going to be in the range of 39% to 39.5% at the beginning of the year. We restated that that's where they're going to be. Typically, what we do see and it's a seasonal basis that we see year in and year out, as the first half margins are stronger, the second half margins are weaker. So it's playing out as we had actually thought it would play out at the beginning of the year.
Lara Fourman - Goldman Sachs & Co. LLC: Okay. Thank you.
Richard A. Simonson - Sabre Corp.: Thanks.
Operator: Next we'll go to Jed Kelly from Oppenheimer.
Jed Kelly - Oppenheimer & Co., Inc.: Great. Thanks for taking my question. Two, if I may. Can you just touch on what's causing some of the agency contracts that were supposed to on-board later in 4Q to on-board in 2019? And then my second question, I guess, is as the OTAs continue to invest more in lodging marketing, is there an opportunity for you to actually service the OTAs more, more on their air technology, because I get a sense they're going to invest more in their marketing versus their air?
Richard A. Simonson - Sabre Corp.: Yeah, Jed, this is Rick. On the agency contracts, again, it's just really a bit of slowing of some of the conversions, particularly in the Americas, that we're working on. And we just see those coming on. There's nothing there. There is not a consistent pattern there. It's a small handful of agencies.
Sean E. Menke - Sabre Corp.: And on your second question, as it relates to OTAs focused on developing their technology, more specifically on the lodging side, this is – when we look at what's happening in the evolution of distribution, specifically within the airlines, this is one of the key reasons I think, we have a very strong position in helping not only OTAs, but also just brick-and-mortar agencies, TMCs. Because when you look at each company and their investments and how do they look at where do they want to invest for the high value of what they're trying to do, a lot of what we're hearing as we have our discussions with a number of agencies around the world is making sure that we are front and center as it relates to the distribution and the changes in distribution on the airline side of the equation, that allows them to look at how do they make sure that they're investing in the things that are going to give them the greatest return as well. So those conversations are taking place, and you're spot on on the way that they're looking at it.
Jed Kelly - Oppenheimer & Co., Inc.: Thank you.
Operator: Our next question comes from Ashish Sabadra from Deutsche Bank.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Solid quarter. My question was going to be around the percentage on EBITDA going forward. Thanks for laying out, detailing out the investment that you're making in terms of the products as well as infrastructure. There's also some benefits coming in from the realignment initiatives. Just as we think about the percentage going forward, can you just help us understand what are the tailwinds and the investments, should we consider 2018 as another year of investments with new CTOs and CIO coming onboard?
Sean E. Menke - Sabre Corp.: Yeah, well, basically, Ashish, it's just the focus, as you said. We had done a lot of work at the end of the year and coming into the beginning of the year to prepare for the onboarding of some of the new leaders, both external, internal moves. Vish at the CTO being one of those, Joe DiFonzo, CIO, a bit earlier, Dave Shirk at the lead of AS, and Clinton Anderson moving over to HS. And they're well positioned to receive that and start the focus that we've talked about. So, we still are at the same place that we said. We see dynamics at this point in 2018, both in the market dynamic and shaping up similar to 2017. And again, the preliminary guide that we've given as revenue would shape up for similar growth in 2018 versus 2017, pre any change in 606 accounting, which I droned on about in the call. And that level of pre-606 revenue growth would expect it to flow through similar to free cash flow. And so those are the dynamics that we have, and the new folks are playing into that well, and just sharpening up the execution on that.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Thanks for the color. And just a quick question about any plans for Analyst Day or giving out a mid-term guidance?
Richard A. Simonson - Sabre Corp.: Well, as we said, we will give our guidance on 2018 at the Q4 call. And Sean, and Barry and I have been consistent, we'll look to give guidance ahead of that of how things might transpire in the following years at that time and later. We aren't prepared to do that now.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Thanks.
Operator: Our next question today is from Abhey Lamba from Mizuho Securities.
Abhey Rattan Lamba - Mizuho Securities USA, Inc.: Yeah, thank you. It's Mizuho Securities. So, Sean, thanks for the update on the NDC technology and the investments you're making. When we look at the Airline Solutions business for the new business contracts you kind of show up, or some of the meaningful contracts you sign, do we need the completion of these investments that you're making? Or are there other things that you're working on that can expedite that process?
Sean E. Menke - Sabre Corp.: Yeah, I mean, they're completely different investments and what's taking place. So if I speak more specifically, and I think you're speaking of the TAM rollout, that's just investment that's taking place. Everything that I was mentioning as it relates to our focus on distribution, retailing and distribution, and how we're looking at it within each of the business units, specifically Travel Network as well as Airline Solutions, that's separate. So, we are looking at those separate, but as I said – and this goes back to the prioritization of investments, making sure that as we look at what we need to deliver, that is taken care of, and then what is the investment on top of that that is focused on our business strategy going forward.
Abhey Rattan Lamba - Mizuho Securities USA, Inc.: Got it. And Rick, I know you're not giving 2018 guidance right now, but can you give any qualitative puts and takes in terms of how we should think about your margins and revenues next year?
Richard A. Simonson - Sabre Corp.: No, I could repeat what I just said last question, but otherwise, I really can't, because let's – we're just – as we said, we want to lay out what our priorities are, where the focus is, increase a focus on return on investment across the different investments, whether it's at the platform stack or at the product level, and judge us by have we done that, or are we making progress? And we think we are, and again, we're able to put some proof points on that, hopefully, here in Q3 with respect to in Q4, and then we'll have a better view on 2018, beyond what I've painted at a high level.
Abhey Rattan Lamba - Mizuho Securities USA, Inc.: Got it. Thank you.
Operator: Moving on, we'll hear from Brian Essex from Morgan Stanley.
Brian L. Essex - Morgan Stanley & Co. LLC: Hi, good morning, and thank you for taking the question. Rick, maybe – or maybe this is a question for Sean. Particularly as you have conversations with carriers about NDC, and they try and balance their primarily indirect distribution between OTAs and TMCs, I guess, where do you see the – particularly considering what the OTA mix looks like now, and maybe that kind of inventory is more commodity in nature, I mean, do you see a meaningful opportunity there for the role that you'll play in the distribution, and potentially some upside in economics as OTAs may revisit the role they play with airline distribution?
Sean E. Menke - Sabre Corp.: Yeah, let me tackle that, and I'll let Rick add some comments. So when we have conversations with airlines around the world – I was in APAC for a couple of weeks about a month ago, and spent time in Europe as well with the carriers here in the Americas, both North and South America. The one thing that I don't think is coming across really clearly is that each of these carriers are looking at it a little bit differently. And in doing that, their primary focus is on how are they driving more revenue. And as they look at distribution, they are focused on what are the forms of distribution that are going to drive the higher revenue components, and that's an important sort of distinction as you break this down. And what is clear – and we continue to see this play out – is the important role that agency have both on, be it the TMCs, the brick-and-mortar agents, as well as OTAs. And in doing that, I see us sitting squarely in the middle relative to thinking through how all this comes together, and actually being the voice that's driving a lot of this. I think there has been, actually, a void in the travel ecosystem on how we drive this forward, and that's something that I'm very adamant that we are going to do. And I can relate to what a number of these executives are going through, as they think through the constraints that they're working through and trying to drive more revenue, and technology sits right in the middle of it. And not only is it related to what's happening on OTAs or the brick-and-mortar, but what's happening, what they've been able to accomplish on the direct side of the equation. And for us, the capability of bringing this all together – and as I mentioned in my comments, it is about how do you focus on selling products and services, which is the distribution, and how do you fulfill that? And it also does go deeply into what the agencies need as it relates to mid- and back office. And we cover all this stuff, we touch every piece of it. So we sit in a really good position to help this transition and help those carriers do what they need to do, and make sure that we're supporting the agencies at the same time. This gets into, as I mentioned earlier, when OTAs are looking at where they want to invest their own capital, they can do it in areas that they feel are going to drive the highest returns for them. And they're looking for us to make sure that we're bringing forward the capabilities to evolve the model.
Brian L. Essex - Morgan Stanley & Co. LLC: And maybe to follow onto that, how much unification do you see from the carrier perspective in terms of what they're investing? And I understand that they're all at varying levels of adoption of different levels of NDC standards, but how do you determine what you're going to invest in in the platform? And then how is that coming together on the carrier side with regard to maybe some consensus in terms of what these standards are going to look like and how things are going to move forward? What can we look at in the marketplace to kind of gauge that?
Sean E. Menke - Sabre Corp.: Yeah, so the important thing is, and it will be – what you'll find is – I can give you an example of having conversations with different carriers, and when they look at NDC, they look at it a little bit differently. Remember, NDC is a protocol, right, it's a development protocol standard is what it is. What NDC is driving towards is how do you sell more products and services, or how are you being able to present them in a different way to be able to do that? And what we find is different carriers have different strategies as it relates to that. The one thing that I think is going to drive this is really locking into a couple of carriers that are going to be at the forefront of this. And this is typically what we see, is companies go to the forefront relative to what they're going to sell, because of the way products and services are sold throughout – call it, the airline business in the indirect channel. There has to be a level of standardization that's there, and that's where we are going to be the voice of reason on what can and cannot be done because we also have to make sure – and this is one thing that I have been very vocal about with specific carriers, and I have asked them, as you begin to think about changing what you are selling, or how you begin to enhance it more, how are you looking at revenue management? Because revenue managing with classes of service in the hierarchy is completely different if you are putting a dynamic offer together, and that's why we're focused on that. That's why we're focused on how that gets pushed into the PSS system. So it's what I would consider to be some really detailed conversations that's just not about how do you just change the selling of it, but how do you do the fulfillment of it at the end of the day.
Richard A. Simonson - Sabre Corp.: Hey, Brian, this is Rick. I would add it means airlines are going to pace what they are investing in the protocol, NDC, and it means we are as well. And it's important to realize that while there are a number of airlines who are more at the forefront of this, and Sean has talked all year about how that is changing, and a number of those, those are the ones that we're looking to work with and evolve this and set along the basic standards so there aren't multiple flavors. But it's important to realize the majority of the airlines aren't in a position right now or don't need or want to. And just to put a little bit of frame on that is we have got – in the quarter, out of our well over 400 airlines around the world that we service through the GDS, we renewed a couple dozen of those, and those are all at the normal structure. It has nothing to do with NDC or different protocol. And to the year, we've renewed closer to 50 of those, again, that are outside of any discussion of near-term change relative to the model in terms of incorporating NDC. And I think what has come out in the last month or so since we last talked is a real clarity around how the GDSs are critically important at the center of new distribution protocols. You've heard that from the big TMCs, the big OTAs, and even the airlines, like American Airlines, stating that. And so it is going to be paced and we can pace along with that.
Brian L. Essex - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: Our next question today is from Matthew Broome from Cowen & Company.
Matthew Broome - Cowen & Co. LLC: Hi, thanks for taking my call. Just one from me, how would you characterize the pipeline for your Hospitality Solutions business? Thanks.
Sean E. Menke - Sabre Corp.: Well, again, as we've said, we have good growth in the AirVision, AirCentre this quarter. Oh, I'm sorry, you said Hospitality. Thanks, guys. Appreciate it. My bad. Consistent. People are a little bit concerned. Are we going to grow continued at mid-teens? I think we put that to rest in Q3. We had strong growth there. That will continue and make the year, as expected, in the teens growth with Hospitality. That's driven by our central reservation systems, both across the whole global independent hoteliers where there continues to be a lot of growth there. And then benefited from the fact that we still are doing some cut-overs on the Wyndham corporate central reservation systems and we have more of that to go here in the fourth quarter, as we talked about, as well as into the beginning of 2018. So intact for that teens' growth in Hospitality Solutions is what we're seeing.
Matthew Broome - Cowen & Co. LLC: Thanks, very much.
Operator: And we'll go next to Brad Erickson from KeyBanc Capital Markets.
Brad Erickson - KeyBanc Capital Markets, Inc.: Hi, thanks, just had two follow ups. First, could we just get a quick update on Alitalia as it pertains to the outlook, and then any update you're able to provide on the expected LATAM implementation? Thanks.
Richard A. Simonson - Sabre Corp.: Yeah. So Alitalia is continuing to operate under the protection of the trustee. We continue to get paid. We continue to provide them with critical services that are allowing them to improve their operations. So we don't have any change there. LATAM, as I mentioned before, we're working hard on that and it's expected to cut over in the first half next year. And so when that cuts over, we do get the benefit of another implementation on our SabreSonic that is for an airline. We're running the long side of that, if you'll recall. This brings on the TAM side of that, and that's an incremental 40 million-plus passengers boarded.
Sean E. Menke - Sabre Corp.: Back on Alitalia, they've reported that relative to the line, I think it was €600 million that government have provided them, that they had not even tapped into that yet. That their performance is actually improving from a financial perspective.
Brad Erickson - KeyBanc Capital Markets, Inc.: That's great. And then just following up on a lot of the NDC questions guys have been asking. Can you just talk about how we should think about NDC relative to the maintenance and incremental CapEx associated there? Any potential changes, capital intensity-wise, that investors should be thinking about for going forward? Thank you.
Richard A. Simonson - Sabre Corp.: Well, again, we're building that into our plans, and how we're pacing and doing rotation to the highest priorities, the highest values, so no, not anything additional to add there. And again, this will be the incorporation of NDC protocol, in that piece in this evolution is a many-year evolution. And that's a good thing. That makes you able to better manage the pacing of that and focus when the market is ready and the airlines are ready.
Brad Erickson - KeyBanc Capital Markets, Inc.: Got it. I guess, just fundamentally there, though, does NDC serve to sort of drive that initiative you've been looking to do over the last year or so to reduce capital intensity ultimately? Is that kind of the message you are aiming to tell here?
Sean E. Menke - Sabre Corp.: Well, it's part of it. I think where I would start is what we had talked about on data infrastructure strategy platform capabilities agility. Because the marketplace, as it continues to evolve, and this is why when we look at moving more off of mainframe, it gives us the agility to make the adjustments to what the marketplace needs. And that's the right investment, because there won't be a lot of capital intensity, if you are essentially developing to the core, and that's what this is all about is to make sure that we're providing ourselves flexibility agility that will benefit ourselves and benefit our customers going forward.
Richard A. Simonson - Sabre Corp.: Again, that's more medium longer term.
Sean E. Menke - Sabre Corp.: Yeah.
Brad Erickson - KeyBanc Capital Markets, Inc.: Great. Thanks.
Operator: Our next question is from Dan Wasiolek from Morningstar.
Dan Wasiolek - Morningstar, Inc. (Research): Good morning, guys. Thanks for taking the question. Kind of switching gears back to the Travel Network. Wondering if you can give some color on how each of the regional markets grew? And also, if you can give some information on what percent of your new APAC customer has been on-boarded and kind of where you see that toward the end of this year? Thank you.
Richard A. Simonson - Sabre Corp.: Yeah, Well, regionally, as we showed in our slides there, we had good growth in the quarter, EMEA, 16% bookings growth, 10.8% in APAC. And again, that is being contributed to now by that big agency conversion in APAC. And in North America and Latin America, we did have the 1.9% declines. And again, the biggest impact on that was the impact from the approximate 1.3 million bookings lost due to the hurricanes. But as well, I had mentioned that some of the conversions in the Americas got pushed out a little bit, those two things contributed to that. In terms of the conversion of the big agency in APAC continuing on here in the quarter, will continue a bit into the first quarter of 2018.
Sean E. Menke - Sabre Corp.: Yeah. On that, the first component of the conversion, Flight Center conversion is on the leisure side, their leisure business. And their leisure business probably makes up close to 70% of their total business. We are actually tracking ahead of what the schedule was on the conversions taking place, so the number of stores that they have within Australia and New Zealand is going really well. What was always assumed is the business component would be the second phase of that, and that will roll out late this year into early next year.
Dan Wasiolek - Morningstar, Inc. (Research): Okay, helpful. And any information just on how the industries grew for air bookings in the respective regions for the overall market?
Richard A. Simonson - Sabre Corp.: Yeah, we're waiting for detail on that as it comes out, and it will come out in the next weeks.
Dan Wasiolek - Morningstar, Inc. (Research): Fair enough.
Richard A. Simonson - Sabre Corp.: And again, we feel good about how we positioned and played in Q3, and hopefully giving you the ins and outs to get the granularity.
Dan Wasiolek - Morningstar, Inc. (Research): Okay. Thank you.
Operator: And we'll take a question from Neil Steer from Redburn.
Neil Edwin Steer - Redburn (Europe) Ltd.: Hi, thanks very much and thanks for the commentary on NDC. Is there any specific feedback that you can share from the agents with regards to the American NDC strategy that was announced a couple of months ago?
Sean E. Menke - Sabre Corp.: Well, I mean, the thing that continues to come back from the agency, I think you're hearing them be a lot more vocal probably than they have before with what is playing in the marketplace is that, you know, offsetting in the middle of that from a technology perspective. The question that agencies always ask, be it if it's going through a direct channel, is what forms of investment are they going to have to make to make sure that the new booking sort of flow aligns with what they have in the mid- and back-office. And what you often hear is that the dollars that they will be getting aren't enough to pay for the changes that they're going to have to make in development. And that's one thing that, again, is people continue to listen to the entire story, is what additive investment is going to be required on the agencies, be it a brick-and-mortar or an OTA, if the distribution model changes. And remember, they have been – and they've spent millions and millions of dollars aligning their systems to the GDS and the GDS capabilities. And if you would change that, essentially – I go back to sort of heart transplants. You're doing a heart transplant, and there's costs associated with that, and when you look at what is being offered by some of the airlines, what agencies are essentially – what we're hearing is just not enough for them to be enticed because of this development that they will have on the back end.
Neil Edwin Steer - Redburn (Europe) Ltd.: Okay. Thanks for that. And my understanding of this may be slightly incorrect, so correct me if I'm wrong, but if you provide NDC content to the agents, is the agents liable to reimburse the airline for any fees that the airline pays you as a distribution fee? Because that way, I'm not sure the economics from the agent's perspective actually changes if they use NDC Level 3 through you in any case.
Richard A. Simonson - Sabre Corp.: No, don't see it that way. Remember, NDC itself doesn't deliver, isn't determinative of the content on that or the business model. But, no.
Neil Edwin Steer - Redburn (Europe) Ltd.: Okay. Thanks.
Operator: And that does conclude today's question-and-answer session. With that, I would like to turn the call back to Mr. Menke for closing remarks. Mr. Menke?
Sean E. Menke - Sabre Corp.: Yeah, great. Thank you very much, and I appreciate everybody joining the call today. As you can see, there's a lot of momentum taking place at Sabre across a number of different areas. And the one thing that I would be remiss, and I've said it a couple of times – I can't thank the employees enough of what they're doing and the changes that are taking place within this organization as we continue to gain momentum and move into 2018. So, again, look forward to talking to you at the year end.
Operator: And that does conclude our conference today. Thank you for your participation. You may now disconnect.